Operator: Hello, and welcome to Synovus Financial Corp. Fourth Quarter 2019 Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to your host today, Kevin Brown. Please go ahead.
Kevin Brown: Thank you, and good morning. During the call today, we'll be referencing the slides and press release that are available within the Investor Relations section of our website, synovus.com. Kessel Stelling, Chairman and Chief Executive Officer, will begin the call; followed by Jamie Gregory, Chief Financial Officer, who will be providing more detailed comments on the fourth quarter; and then President and Chief Operating Officer, Kevin Blair, who will talk about our 2020 outlook and long-term goals. Our executive management team is available to answer your questions at the end of the call. [Operator Instructions] Before we get started, let me remind you that our comments may include forward-looking statements. Such statements are subject to risks and uncertainties, and the actual results could vary materially. We list these factors that might cause results to differ materially in our press release and in our SEC filings, which are available on our website. We do not assume the obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as may be required by law. During the call, we will reference non-GAAP financial measures related to the company's performance. You may see the reconciliation of these measures in the appendix to our presentation. And now, here's Kessel Stelling.
Kessel Stelling: Thank you, Kevin, and good morning, everyone, and welcome to our fourth quarter and year end 2019 earnings call. Before I offer a few additional comments on the year and the quarter, I want to take a moment to congratulate Kevin Blair, who was recently named President of Synovus, adding to his responsibilities as COO that he took on just a year ago. I also want to thank our entire leadership team for the work they have done and will continue to do in the year ahead as we carve new paths for growth and efficiency, work that will be both rewarding and challenging for our team. In that regard, we have recently partnered with a third party to assist us in identifying new revenue and efficiency opportunities designed to improve ongoing performance as well as the customer experience. I'll ask Kevin to serve as executive sponsor of this initiative, and he'll provide more comments on this important work later in the presentation. Before I turn the call over to Jamie, I'll briefly walk us through the highlights of the fourth quarter noted on Slide 3. Diluted earnings per share were $0.97 or $0.94 adjusted. Adjusted EPS was down 3% sequentially and up 3.1% year-over-year. Period end loan growth was $745 million or 8.1% annualized resulting from total funded loan production of $3.6 billion. Period end deposit growth was $972 million or 10.3% annualized. Core transaction deposits increased $373 million, and total deposit cost declined 13 basis points from the prior quarter. Net interest margin was 3.65%, a decline of 4 basis points from the prior quarter. Excluding the impact of purchase accounting adjustments, the net interest margin was 3.40%, down 2 basis points from the prior quarter. Non-interest income was $98 million in the fourth quarter, an increase of $9.2 million from the prior quarter, and $30 million from the prior year quarter led by capital markets and fiduciary activities. And credit quality metrics remained solid with the non-performing loan ratio and the non-performing asset ratio declining by 5 basis points from the prior quarter to 0.27% and 0.37%, respectively. The net charge-off ratio was 0.10%. We repurchased $36.5 million in common stock or 1.1 million shares during the quarter, which completed our 2019 share repurchase authorization of $725 million. Outstanding shares were reduced 11% from the beginning of the year. Our 2020 share repurchase authorization should allow us to continue operating with a CET1 ratio of around 9%. I’m also pleased to report that our Board approved a 10% increase in the quarterly dividend to $0.33 per share of common stock effective with the April 1 dividend. I’ll now turn the call over to Jamie for a more detailed look at 2019.
Andrew Gregory: Thank you, Kessel. Let’s begin on Slide 4 with loans. We had another strong quarter of loan growth with a net increase of nearly $750 million on production of $3.6 billion. The growth was broad based with CRE growing in 7 of 10 asset classes, direct C&I lending increasing across the footprint and the consumer book experiencing growth in all product types. The credit profile of this growth was consistent with prior quarters, and we remain confident in the quality of our loan book. We have a robust loan pipeline across industries and the footprint. And we're starting to benefit more directly from changes in the competitive marketplace following recent M&A activity and industry consolidation. On Slide 5, deposit highlights include a continued increase in core transaction deposits. This is a direct reflection of our team members' performance growing quality relationships across our footprint. In the fourth quarter, we continued our efforts to remix the deposit book by allowing higher-cost deposits to run off. We offset that runoff with growth in non-interest-bearing deposits, money markets, and the seasonal inflows for more reasonable priced public fund deposits. This strategic focus supported continued reductions in the total cost of deposits, which fell 18 basis points from the peak in July and 13 basis points from the previous quarter. As you can see on Slide 6, the core net interest margin decreased 2 basis points to 3.4%. Excluding purchase accounting accretion, lower interest rates resulted in an 18 basis point reduction in loan yields and a 13 basis point reduction in the cost of deposits. As a reminder, GAAP margin at 3.65% benefited from purchase accounting accretion, which was $26 million in the fourth quarter. The benefit to NII from purchase accounting will decline substantially in 2020 to a full year total of approximately $8 million. Strong balance sheet pipelines and the timing of loan growth, which was weighted towards the end of the quarter, provide tailwinds going into 2020. On Slide 7, you'll see we have had continued success in fee revenue growth, which increased to $98 million or $92 million adjusted. Included in our GAAP non-interest income is an $8 million increase in the fair value of certain equity investments. In the fourth quarter, fee revenue growth was led by capital markets and fiduciary activities of $2 million and $1 million, respectively, which more than offset reductions in areas such as mortgage banking income. Non-interest income as a percentage of average assets continues to improve as we successfully execute on this key strategic objective. An example of this success includes a 29% year-over-year increase in implementations by treasury and payment solutions. Slide 8 shows adjusted expenses of $265 million, which is an increase of $6 million from the previous quarter. Significant increases, noted on the slide, reflect a $3 million increase in FDIC expense associated with the reclassification of certain loan categories over the past 4 years. Expenses also increased with opportunistic revenue-producing hires and additional non-interest income. There was also a $2 million increase in servicing expense that was more than offset with higher revenue resulted from a renegotiation of a third-party consumer lending partnership. As we execute strategies from our new operating model, we continue to recalibrate our expense base to emphasize the importance of customer-facing talent and technology. These investments have short-term paybacks that will serve the company well by improving efficiency and profitability long term. Key credit quality metrics on Slide 9 remain favorable, including NPL and NPA ratios that each declined by 5 basis points. These reductions were achieved with a net charge-off ratio of 10 basis points for the quarter. The net charge-off rate was 16 basis points for the year. Provision expense of $24.5 million included the costs associated with a $466 million increase in net loan growth from the prior period. Provision expense remains elevated compared to net charge-offs due to the impact of purchase accounting. Under our acquired loan accounting selection, the credit mark flows through NII rather than provision as loans pay off or renew. As we think about the overall allowance, our coverage ratios remained favorable as credit quality continues to look healthy. On to Slide 10. We remain confident in our overall capital position and are pleased to report that we completed the $725 million share repurchase authorization in 2019. This included fourth quarter repurchase activity of $37 million, which reflected a reduction of an additional 1.1 million shares. Total shares were reduced 11% from the beginning of the year. Ongoing analysis continues to provide support for operating at our current capital and liquidity ratios. And now Kevin will discuss our outlook.
Kevin Brown: Thanks, Jamie. Before I talk about what we expect in 2020, let me take a minute to reflect on 2019. I am very pleased with our progress and success achieved during the year. As we rolled out a new operating model in the beginning of the year, our objectives were to better align our organization to further enhance the customer experience as well as expand and diversify our sources of growth. In 2019, we added 58 net new revenue-producing team members across our footprint in many of the fastest-growing markets in which we serve. Various business units contributed to our growth, including mortgage, brokerage, trust, private wealth management, wholesale banking and treasury and payment solutions. The attraction of this talent helped move the needle in 2019 and will have an even bigger impact on 2020. We also experienced strong growth in banker productivity during the year with funded loan production of $11.1 billion, up $3 billion or 37% from 2018. Moreover, the increase in production led to a 5.5% pro forma outstandings growth in total loans with C&I, CRE and consumer asset classes all increasing. In 2019, we also delivered 10.6% fee income growth versus 2018 on a pro forma Synovus FCB basis. Strong growth was delivered across multiple businesses, including mortgage, capital markets, card and our fiduciary and asset management businesses, which saw assets under management grow 21% as we continue to expand our capabilities and presence across the footprint. As a result of the growth in these categories, we saw the percentage of our revenue derived from fee income increase throughout the year, now totaling 19% in the fourth quarter. As we previously discussed, we completed the integration of the Florida Community Bank during the year, and we're pleased with the contributions of our newest team members. The legacy FCB wholesale team continued on a path of growth with loans increasing $350 million during the year, deposit accounts growing by 8% and record levels of capital market income of $18 million, up 38% year-over-year. Credit in the acquired FCB book also performed as we expected during the year, with credit metrics and internal reviews supporting the overall quality of the portfolio. The legacy FCB branch network also saw performance gains in 2019, with branch unit sales per month of 51, slightly higher than the legacy Synovus branches. We also invested in new technology and new business units to generate growth. We released My Synovus, our consumer digital portal in 2019 and are preparing for the release of our commercial digital platform in 2020. In the middle of 2019, the Synovus structured lending division was formed, and in a very short period of time, has already generated $150 million in loan commitments. We also spent the year building out and piloting a much stronger value proposition for the mass affluent customer segment and will release this program and the associated solutions across our franchise this quarter. So as we enter 2020, our road map will follow a similar course. It calls for opportunistic expansion and growth, simplification and process enhancements that will make us even easier to do business with. And additional efficiency efforts that will fund new investments, while helping to mitigate the headwinds from the margin. In building the strategic road map, we engaged a third-party back in September of 2019. The work over the last 4 months has informed our 2020 guidance, but more importantly, our long-term goals. We have reviewed over 20 initiatives that provide opportunities for incremental growth from the revenue side as well as additional efficiencies. We are in the final stages of prioritizing the 8 to 10 initiatives that will be delivered during 2020. But generally, the revenue opportunities have a longer-term horizon while efficiency opportunities will begin to be realized in 2020. Our efficiency opportunities will center around the categories that have been constructive for us in the past, third-party spend, real estate and staffing rationalization. As we move forward with this engagement, we will continue to provide updates and greater transparency around the opportunities as well as the progress. Now moving to our 2020 guidance and long-term targets. These are based on a lower-for-longer rate environment and modest economic growth. We believe that the economic tailwinds that have resulted in above-average economic growth in the Southeast will continue. Our clients maintain a favorable outlook on the business environment, and we are focused on supporting their growth. We are pleased with the positive momentum in the balance sheet growth, which has been driven by new talent, the enhancement of capabilities and sales tools as well as stronger growth in our larger Tier 1 markets. Our approach and the momentum is expected to continue to support asset growth of 4% to 7% in 2020. Funded loan production increased throughout 2019, and ended the year with a robust pipeline funded by remixed deposit base. For 2020, we expect loan growth to exceed market economic growth as we further deepen existing relationships, grow new relationships and continue hiring of frontline bankers. We expect this to result in broad-based loan growth across markets and industries. We will fund this growth with a continued focus on growing core transaction deposits. Our efforts to reduce high-cost deposits will continue in 2020 as we selectively reduce higher-cost, single-service deposits. One of the most significant headwinds to the 2020 income statement is purchase accounting adjustments, which are expected to reduce revenues by approximately $90 million from 2019. Excluding PAA, adjusted net interest income should increase 0% to 3% as we continue to actively manage our balance sheet to optimize the margin as well as returns. We do expect the net interest margin to be down slightly, assuming flat interest rates and similar balance sheet mix. Adjusted non-interest income is expected to increase 3% to 6% with broad-based growth. The continued growth in fee income is a function of hiring efforts in higher-opportunity markets, product areas such as treasury and payment solutions as well as in expansion of the share of wallet with existing relationships. Adjusted non-interest expense is expected to increase 3% to 5%. The primary drivers include continued investments in people, processes and technology that will have relative short-term paybacks. These investments will be partially offset by savings realized during the execution of our strategic efficiency initiatives. The 2019 tax rate of 26% was negatively impacted by significant non-deductible merger-related expenses that are not expected in 2020 as well as certain discrete items that were also negative. Elimination of these aforementioned expenses as well as additional strategic tax initiatives and the realignment of certain subsidiaries will reduce the future effective tax rate substantially. We expect the net charge-off ratio of 15 to 25 basis points as the credit cycle matures and recoveries subside. There are no indications of any widespread credit deterioration. However, net charge offs will be impacted by changes resulting from purchase accounting of the acquired portfolio as the credit mark is unwound at CECL adoption. As we look forward to 2020, the largest change to financial statements involves CECL implementation. Provision expense will be elevated going forward as we provide for life of loan losses and will be highly dependent on the projected economic environment, the credit profile and tenure of loans, the impact of unfunded reserves as well as expectations of both net loan growth and a continuation of the current elevated levels of payoffs. Given our current profile of loan growth and expectations for the economy, we anticipate adding up to 10 basis points to the allowance for credit losses ratio throughout 2020 to account for the change in provisioning to the life of loans. Our estimated day 1 CECL impact, which remains unchanged from the previous quarter can be found in the appendix. This incremental forecasted provision expense is not related to any changes in the underlying credit fundamentals of our loan book. Moving on to capital. In 2019, we completed subordinated debt, and preferred stock issuances and purchased 20 million shares, which effectively optimized the capital stack, given the current balance sheet size and risk profile. We reiterated our comfort with a CET1 ratio of 9% under the current conditions and are committed to, first, funding organic growth, second, maintaining a competitive dividend, and third, effective capital deployment. As such, we will be increasing the common dividend by 10% in 2020, targeting a payout ratio of 35% to 40%. Moreover, we will monitor capital consumption through organic loan growth and tailor our share repurchases accordingly as we continuously manage our capital and liquidity positions. Our long-term goals reflect the successful execution of our strategic road map. We are committed to aggressively identify and implement new avenues for growth and efficiencies throughout our organization. I’m confident in our path forward and the passion and the commitment of our entire team and in the clarity of our vision to be the bank we've always been, but better. We've moved - we're moving forward fully aligned with a keen eye on delivering on our goals of positive operating leverage, diversified balance sheet growth and top quartile profitability metrics. Kessel, I’ll turn it back over to you for closing remarks.
Kessel Stelling: Thank you, Kevin. And before we move to Q&A, I, again, want to thank our Synovus team for their contributions to another successful year for our company. Our results reflect continued momentum across our footprint, with greater organic growth and an improving ability to execute well as a fully unified team. I’m always so proud of the way our team supports each other, serves our customers and gives back to our communities. Operator, we’re now available for questions.
Operator: Thank you. [Operator Instructions] And the first question comes from Ebrahim Poonawala with Bank of America Securities.
Ebrahim Poonawala: Good morning.
Kessel Stelling: Good borning.
Ebrahim Poonawala: I guess, just first question, I wanted to - looking at the expense guidance of 3% to 5%, how should we think about expense growth for the year? Is the lower end kind of tied to if revenue - asset growth is at the lower end, we should expect the expenses to be at the lower end. And is that the right way to think about where expenses could shake out or is it more incumbent on just investment decisions that you're making? Would love to get your thoughts in terms of just how we think about operating leverage for the year. And also in terms of do we expect to get an update on the efficiency plan by the first quarter earnings, or do you expect an update sooner than that?
Andrew Gregory: So Ebrahim, this is Jamie. Thanks for the question. We expect, as we said, 3% to 5% expense growth for 2020. And a lot of that has to do with things that happened in 2019. So we have about 1% expense growth associated with the third-party servicing. And so that's just growth in the book. That's a renegotiation that also negatively impacted expenses this quarter. Another thing, another impact are hires we made in the second half of '19. And so we've been really growing our first line out there in the field. And that's going to be a negative impact to expenses as we head into 2020. You're right. The growth will definitely impact that. You saw that in the second half of '19 when - with the commission expense being higher just because of the strong performance in fee revenue businesses. And so you're right. It is somewhat dependent on that. But we're excited about the opportunity to improve this. And we have many initiatives in flight, as Kevin mentioned on the script, talking about our opportunities for 2020 with our transformation efforts.
Kevin Blair: And Ebrahim, this is Kevin. I'll answer the question as it relates to additional transparency around the initiatives. Yes, I think at the first quarter earnings call, we'll provide a little more clarity as to the initiatives themselves. Obviously, when we are giving guidance on the full year, we want to understand what the third-party spend will be in order to generate the savings. But as Jamie mentioned, I think what you'll see with our quarterly expenses is that we'll hit a high watermark in first quarter, and then expenses will trail off as the year continues. And so we'll be able to generate positive operating leverage as we get towards the second half of the year, and most certainly, as we look at 2021.
Ebrahim Poonawala: That's helpful. And just moving quickly to capital. CET1 at 8.95% relative to the 9% target, and you obviously raised the dividend this morning. Is it safe to assume that we should - we may not see any buybacks, at least early part of the year as you sort of gauge asset growth, given your guidance and let capital build? Like what's the right way to think about buybacks from here on?
Andrew Gregory: Yes, Ebrahim, we expect to maintain CET1 around the 9% level where we are currently, and we feel confident in that level. And so you're right, we'll be looking at how we grow our balance sheet and how that plays into capital ratios, but I wouldn't assume that, that means that we'll be holding off on share repurchases.
Ebrahim Poonawala: So we could see - or we should expect share repurchases in the first quarter?
Andrew Gregory: We're not giving guidance to the timing of share repurchases, but we're going to stay at the 9% level. As you look at that, I would say, with our forecast of loan growth and the guidance we're giving, we may repurchase 2 million to 3 million shares in 2020, and that will probably be over the course of the year.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
Andrew Gregory: Thank you, Ebrahim.
Operator: Thank you. And the next question comes from Tyler Stafford with Stephens.
Tyler Stafford: Hi. Good morning, guys. I guess, Jamie, I'm trying to just triangulate on expenses here. The comment from last quarter's call about looking at opportunities not just in the fourth quarter, but in the 2021 - 2020 and 2021 to take out significant adjustments to the expense run rate relative to the fourth quarter expenses that we saw that stepped up fairly meaningfully? And then I think the guide of 3% to 5%, that was above expectations. Just I guess, simply, what happened to the outlook that I thought you guys were talking about on the third quarter call relative to what happened in the fourth quarter and the outlook here of 3% to 5% of expense growth?
Andrew Gregory: Yes, Tyler. Well, I'd say a few things. First, we did have a lot of strong growth in the fourth quarter. You saw the balance sheet growth. You saw the fee revenue growth. And so that contributed to our expenses. We also had the renegotiation of the third-party relationship that added $2 million to fourth quarter expenses. It will add, as I mentioned a minute ago to Ebrahim, it'll add another $10 million or so to 2020 expenses as well. But just as a reminder, that's offset by a bigger impact in NII and so it's accretive to the shareholder. Also in the fourth quarter, we had FDIC expense, and that was related to the reclassification of certain loan categories over the past 4 years. And when we went in and looked at that, we also engaged a third-party to identify opportunities to reduce the assessment rate going forward. And so that will actually be a net positive to 2020, but then we also had a higher compensation expense. There were some ebbs and flows in compensation expense, but we did have $2 million higher due to certain legacy defined benefit plans that hit us in the fourth quarter. We do feel confident about the efforts we're making to reduce efficiency rate going forward. As Kevin mentioned, we expect the first quarter to actually be a little higher due to seasonal impact of personnel expense. That probably is $5 million to $6 million. But we're excited about the work streams we have in play to help us improve our run rate going forward and help get back to positive operating leverage, and we're targeting returning to year-on-year positive operating leverage in late 2020.
Tyler Stafford: Okay. But to be clear, the efficiency opportunities that you're speaking to, that is already reflective in the 3% to 5% expense growth outlook. Is that right?
Andrew Gregory: So the 3% to 5% outlook, a couple of things with that. One, that doesn't include any expenses associated with the transformation effort. So I'll be clear on that. But the benefit to calendar year 2020 is not nearly as much as the benefit to run rate at the end of the year. We expect to complete many of these initiatives that will improve both revenue and expense going forward. But the impact to 2020 is not significant.
Tyler Stafford: Okay. So the exit expense base being - I think, what you're implying is the low point for the year. That lower expense exit base should continue into 2021, providing greater efficiencies really in 2021?
Kessel Stelling: That's right.
Tyler Stafford: And a lower expense growth rate?
Kessel Stelling: That's right.
Tyler Stafford: Okay.
Kessel Stelling: And Tyler, this is Kessel. Let me just kind of maybe summarize what both Jamie and Kevin said to the question of what happened because one of you on the call, have already seen that question in e-mail this morning early. Nothing really happened. What in effect has happened is that the investments we made in 2019, throughout the year but a lot in the middle and the back half of the year, have really paid off. But those salaries, those investments didn't go away as we enter 2020. But in the midst of all that, we've been very thoughtful, and quite frankly aggressive in taking out cost in the back half, either in the fourth quarter with some reductions in staff throughout our company. So I don't want to leave you with the impression that we're -- we've forgotten about our commitment to expense control. It's just on this call today, and I think you know this about us or me, I don't like to guide to things that I don't see. And so we are working very aggressively with a third party so that we can give you more color as to the amount of revenue opportunity and the amount of expense run rate, short term and long term. And so I just want to make sure that you understand the commitment to executing on that is as strong as ever.
Tyler Stafford: Okay. Thank you, guys.
Kessel Stelling: Thanks, Tyler.
Operator: And the next question comes from Brady Gailey with KBW.
Brady Gailey: Hey, thanks. Good morning, guys. I think I heard something earlier in the call about the loan loss reserve ratio being build 10 basis points. I wasn't sure, is that somehow related to CECL? Or are you referring to after CECL, you expect to build the reserve by 10 basis points throughout the rest of 2020?
Andrew Gregory: Brady, this is Jamie. That if we are referring to CECL and we're referring to the day 2 impact on the allowance for credit losses. As we look at 2020 and to give guidance there, CECL was impacted by multiple factors, right? Like there's the impact of loan growth, there's an impact of the credit components of loan mix. There's an impact of prepayments. If you have accelerated prepayments, the average duration of your book extends, and it negatively impacts your provision expense due to CECL. There's the impact of unfunded commitments as well as the big impact of the general economic environment, your assumptions that you put in there. And so when we look forward on the day 2 impact of CECL, we expect our allowance for credit losses to marginally increase as we go through the year. Clearly, there's a lot of uncertainty. We're not forecasting any deterioration in the economy. We think that using a flat kind of economic assumptions that we still may see a slight increase in the allowance percentage as a percent of loans just due to the fact that the average duration of the book extends a little bit. There's no change in the credit performance. We - the forward-looking credit indicators are all looking very good and strong right now. It's really just an impact of just forecasting slightly longer duration within the different portfolios.
Brady Gailey: All right. That's helpful. And then Kessel, it's been a year since you closed FCB. Your currency has come back a little bit, at least relative to where it was at some points back in 2019. Any update on how you're thinking about M&A in the next year or 2?
Kessel Stelling: Well. Year or 2 might be 2 different things, Brady. Currencies come back some but not enough to, I think, position us to participate in a transaction right now. As I think you probably know, there is a lot of chatter out there. There are a lot of smaller banks looking for exit partners. I think we would all agree there are a lot more sellers than there are buyers right now. But we're very, very, very focused on our internal operations, on organic growth, on improving our returns, on controlling the expense growth that Tyler and Ebrahim both just spoke to. So I think short term, the answer is hedge down, internal focus, keep building on the reputation that, I think, we've established, keep proving the investment thesis on FCB as that team has really become fully integrated into our team and performing well throughout the entire state of Florida. So late this year, 2021, I would just say that regardless of currency, we will be very disciplined. And again, the thought being that if there was a right opportunity, where we had the right currency, I think we would have to certainly look at something. But I wouldn't anticipate that being a 2020 event and would see, 2021. I believe there will be plenty of sellers in 2021 as well.
Brady Gailey: Got it. Thanks, guys.
Kessel Stelling: Thanks.
Operator: Thank you. And the next question comes from Jennifer Demba with SunTrust.
Jennifer Demba: Thank you. Good morning.
Kessel Stelling: Good morning, Jennifer.
Jennifer Demba: Back to the expenses topic. Jamie, I think you said that you expect the expense rationalization efforts to take to be more weighted towards the back end of the year. Does that bias your guidance for expenses, core expenses of 3% to 5% - 3% to 5% growth, does that bias it towards the low end of that guidance?
Andrew Gregory: Jennifer, I think that our guidance is – I mean, there are scenarios that can get within - gets you to the low end or the high end. But we think that, that's the right range. We think our base case is right in the middle of the range. But there are definitely opportunities to be at the low end. And as Kessel mentioned earlier, we're going to be looking at a lot of things that can move the lever faster. We - as Kevin mentioned on the call, we've looked at over 20 initiatives. There are things that are teed up to go and in process right now. And so I guess, that guidance is the best I can give you right now. But we feel good about it.
Jennifer Demba: Okay. And question on hires. How offensive will you be in 2020 on hiring off this 58-person base last year?
Kessel Stelling: Well, Jennifer, I think that really covers that expense number as well because we have not backed off of - on the hiring front. And again, I believe, selfishly, we've got a pretty attractive platform to hire to. And we continue to add depth throughout our footprint in really all of our higher-growth markets, and we'll continue to be. I actually spoke early this morning to Allen Barker, who's our Atlanta market President about the number of people that he and some of our other leaders here continue to talk to. And as he said to me, we have the opportunity to be very selective on who we hire because of the number of people who are interested in joining our team. So I think we'll continue to be aggressive. That puts pressure on that revenue number. But while there is some disruption, while there are good bankers in the market, we certainly want to make sure that we're front and center in that decision. I visited with Kevin Howard in Atlanta just a couple of weeks ago and spoke with a couple of people he's recruiting. And again, just seeing what attracts them to our company made me feel really good. So we'll be aggressive, but again, disciplined. I mean hiring comes with a cost because, especially in the middle market space, it takes a while to generate the revenue to cover that. So we'll make sure we balance the hiring in terms of what can give us shorter-term payback versus longer-term payback. But I would say, again, that if you look at the last quarter growth in loans and the push in fee revenue, it really does reflect the success of our hiring decisions throughout 2019.
Jennifer Demba: Okay. Thank you.
Kessel Stelling: Thanks, Jennifer.
Operator: Thank you. And the next question comes from Kevin Fitzsimmons with D.A. Davidson.
Kevin Fitzsimmons: Good morning, everyone.
Kessel Stelling: Morning, Kevin.
Kevin Fitzsimmons: Just taking a step back a bit on the - you said you engaged third-party back in September. I'm just curious what the thought process was? Was it that you knew you had all these investments being made and you needed a way or wanted a way - wanted to look at a way to offset that? Or was it more about looking, versus peers where you stood on certain ratios? I'm just curious about the thought process before stepping in with that.
Kessel Stelling: Yes, we will - I'll take some of that, Kevin. Look, I just think a fresh look is always good. You know us as well as anybody on this call, and in the past, we've engaged a third-party for major initiatives. I remember like yesterday, 2011, when it was $100 million, and we did a 35 or 25. And as we have grown, as we have integrated another organization, as we have made major investments. And I don't want to not give credit to our team who has been very diligent in looking at ways we can take cost out, we thought it was a good - it had been a while since we had a really third-party fresh look at everything we're doing, how we're pricing our products, what products we're offering, procurement. I mean Jamie and Kevin have been to the work stream. So it was a combination of it's just time and a fresh look gives you ideas that maybe you didn't recognize or at least raises the opportunity of that, and we've been very pleased so far. We just got a little more work to do.
Kevin Blair: And Kevin, let me add to that. To Kessel's point, we were not looking at our current efficiency ratio, which you look at for 2019 at 52%, and felt that we were an outlier. Quite frankly, I think we still show very well relative to our peers as it relates to efficiency ratio. But to Kessel's point, we're on offense, and we're trying to grow the bank. And we knew that if we needed to find capacity to continue to invest in new talent and technology that we had to be more efficient. But in addition to the efficiency initiatives, we have a lot of revenue initiatives we're talking about. And most importantly, we're also looking at process reengineering and automation that's going to not only make our team members' lives better, but also make us easier to do business with, with our customers. So for us, we're - it's not parochially focused on just efficiency. We're looking at growth. We're looking at generating revenue, and we're looking at becoming a better institution as we serve our customers. And as Kessel mentioned earlier, we're a great platform for teammates or for team members to come to today, and we want to continue to get better there as well.
Kevin Fitzsimmons: Okay. Great. And one quick follow-up. Just on the margin on core, excluding purchase accounting over the course of the year? I know you mentioned what it would be roughly. But when we're looking in forward quarters, would you expect it to see some more compression but then stabilization at some point midyear? How should we expect it to flow?
Andrew Gregory: Yes. Kevin, you nailed it. That's exactly what we would expect. I would just say the fourth quarter -- looking at the core margin at 3.40%, we feel really good about that. And it benefited from a couple of things. One is the investment portfolio repositioning, and so that'll continue to benefit us. And second is our third-party relationships as well as the renegotiation of those. That'll also benefit us as we head into 2020. So we have that tailwind that got us to the 3.40%. But as we look at 2020, I would say that - I would expect - we guide for the full year, slightly down. I would just say, expect most of that in the first quarter. There are 3 things driving that. One is we had just such strong loan growth in the fourth quarter. The second thing is, the first quarter has strong loan growth already quarter to date. And the third thing is just that the Fed move was at the end of October. And so we didn't get a full quarter of that rate reduction. And so I would say, slightly down for the year, biased towards the first quarter.
Kevin Fitzsimmons: Great. Thanks, guys.
Kessel Stelling: Thank you.
Operator: Thank you. And next we have John Pancari with Evercore ISI.
John Pancari: Morning.
Kessel Stelling: Morning, John.
John Pancari: On the expense topic again, just given the initiatives and the longer-term expected benefits and everything. Where do you see the impact being to your efficiency ratio longer term? What do you think is the appropriate long-term level for your efficiency ratio once you dial these efforts in? Thanks.
Andrew Gregory: John, yes. It's a great question. We are striving for an efficiency ratio in the low 50s. I mean we've talked before about that at the 50 area. But we're really shooting for the low 50s given the change in kind of the underlying interest rate environment. But look, we think we can improve. We think with our business mix, we have opportunities to be better and be more efficient in how we go to market. As Kevin mentioned, we think that's going to improve the experience for our associates and our customers. And so we're excited about that. We believe that these initiatives will help us get there.
John Pancari: Okay. Got it. And then separately, on your guidance, on the 4% to 7% asset growth. How does that break down by the components in terms of loan growth, securities? And then maybe give us some color on the other side on deposits?
Andrew Gregory: Yes. Yes. We - as we look at 2020, we're not really forecasting any material change in the investment portfolio. You mentioned security. So if you look at our loan-to-deposit ratio, we're comfortable where we are with our liquidity profile. And so I wouldn't expect that to change. And just - I mean, so I would expect to see balanced growth from us on both loans and deposits.
John Pancari: Okay. Got it. Got it. Thanks. And then lastly, on the credit side, the - your delinquencies look like they jumped about 40% linked quarter. Can you give us some color on what drove that? And then separately, do you have criticized and classified assets for the quarter and how that changed?
Robert Derrick: Yes, John, this is Bob. I'll try to provide you with a little color on that. We did have one large C&I credit that carried at quarter end. It's in our normal collection process. So given the fact that those past due levels are so low, when you have one, it can move the needle from a percentage standpoint as you called out. From an ongoing basis, we still see risk grade inflow - excuse me, risk grade new and renewed originations being at or better than our current levels. We still got inflows that are minimal, relatively speaking. And our past dues, while there will be some fluctuation, obviously, quarter-to-quarter when you get to these low levels, they're still showing no real signs of overall credit deterioration. Your comment about the rated book, John, is you're going to have some credits move within substandard or special mention here or there throughout the quarter. But again, there's no real new names coming onto that list. So it's just normal course of business there.
Kevin Blair: And John, this is Kevin. I'll just add to Bob's comments. As Kessel mentioned, we had roughly $3.6 billion in production during the fourth quarter. That was up 20% over the third quarter. And you heard Bob mention the average risk weighting. When we look at not only the book and you look at the low levels of NPAs and delinquencies that we have in our portfolio, we have a keen eye on making sure that the new production that's coming on is consistent with that prudent growth strategy and to see that each quarter we have an improving risk profile as it relates to that weighted average risk rating gives us great confidence that we expect to see similar credit quality into the coming quarters. And as Bob mentioned, you're going to have some episodic ebbs and flows in those numbers just because they're so small, but there's nothing that concerns us either from a portfolio or from what we're seeing on the production side.
John Pancari: Okay. Got it. And then - sorry, did you imply that the -- would you state that the criticized or classified assets were stable in the quarter?
Andrew Gregory: Yes.
John Pancari: Okay, got it. All right. Thank you.
Operator: Thank you. And the next question comes from Michael Rose with Raymond James.
Michael Rose: Hey, guys. So it sounds like mid-single-digit loan growth is kind of what you guys are targeting. You guys had really strong C&I loan growth this quarter, especially relative to the industry. Can you talk about just some of the growth drivers as we think about growth into 2020? Is it - you guys moving upstream at all? Are the new hires that you've made, which I think are more weighted towards wealth management in 2019, but is it some of the new hires? Is it market share takeaway? Just give us some color as to how we should think about growth next year. Thanks.
Kevin Blair: No. Michael, it's a great question. Fourth quarter was a strong C&I quarter, but I look at the year and I look at almost $800 million worth of C&I growth. And ironically, it was not in the owner-occupied real estate category. We see a tremendous amount of competition from some of our competitors that are offering long-term fixed rate, owner-occupied mortgages, and quite frankly, based on our profitability requirements. We've let some of that leave us. So where we're seeing growth on the C&I front is really in our wholesale bank. And we have added individuals there. We're up 10 revenue producers in the wholesale bank this year. The growth is coming from across our footprint in Florida and Alabama and Georgia and South Carolina. I think as you'll recall, we moved Kevin Howard to lead that group. And it's been a change that has continued to build momentum as the year has progressed, and they put on a really strong fourth quarter, and it's not in any one industry. It's across many different industries. We're seeing it both on the line of credit side and unfunded commitments, those are growing at a commensurate rate. But also on the funded debt that's coming on. So we're optimistic that, that will continue. Not just from taking share from competitors, but from the continued growth that we have from the bankers that Kessel mentioned we brought on in the second half of the year. And we've also brought on the structured lending division, which is a new business for us that saw growth in the third and fourth quarter. And we're very optimistic that, that will continue into 2020 and into 2021. The good news is when you look at what we're doing, we're getting a tremendous amount of growth, not only on the loan side, but the really nice data point is that we're getting treasury and operating accounts with a lot of those customers. And we've talked a lot about our upgrade in treasury and payment solutions. But when you look at the number of implementations that we've had in 2019 versus 2018, we were up 30%. So that means we're putting 30% more solutions in the hands of our customers. So we're very optimistic to see that growth continue, but we're most excited about the new relationships that we're able to garner.
Michael Rose: Okay. So that kind of dovetails with the comments around kind of balanced deposit growth as well. It seems like you'll be getting some traction on the DDA side, which you got this quarter. But it seems like that will continue into next year, correct?
Kevin Blair: Yes. So average DDA was up for the quarter. When you look at number of accounts, we grew on the consumer checking account front as well. So that was exciting to see. And we're starting to get greater traction as it relates to operating accounts for some of these commercial relationships. And that's going to be a big area of focus for us in 2020 to make sure that we get commercial deposit growth. Obviously, that's a very sticky deposit, and it's one that comes on the lower end of the cost spectrum as well. So that will be something that we're very focused on. And we're adding new treasury resources every day to make sure that we cover that market.
Michael Rose: All right, very helpful. Maybe just one follow-up question. I’m going to go back to expenses. Can you just give a little bit more color on the third-party that you've engaged, maybe who it is? And then at line item, it has been around $20 million. Should we expect that to kind of grow as we move into next year as you kind of work through some of these efforts?
Andrew Gregory: Yes, this is Jamie. We have been working with Boston Consulting Group, and they've been diving into many of our businesses and our products. And you're right. We will see expenses associated with this as we go through 2020, and we will be clear about the impact of those to NIE as we go forward.
Michael Rose: All right. Thanks for taking my questions.
Operator: Thank you. And the next question comes from Ken Zerbe with Morgan Stanley.
Ken Zerbe: Great, thanks. I'll try not to ask another question about expenses. I figure you've given enough brief about that for the rest of the day. But let's talk about the payback, I guess, from those expenses. So like if we think about - like, I get that you hired a bunch of people, and I see way you're growing assets this quarter - sorry, in 2020, the 4% to 7%. And you got 3% to 6% fee growth. My question is, like, once those people and all these initiatives are done and up and running, does that imply that asset growth should be higher than the 4% to 7% and fee growth should be higher than the 3% to 6%, like, not this year but into 2021?
Kevin Blair: Yes. I'll take that, Ken. So it's obviously each position that we hire we have a calculated ROI, NPV and payback period. So Kessel mentioned earlier, we know that our middle market bankers typically are less than 8 months in terms of a payback. And when you go to some of the wealth positions, it takes a year or so for those earn-backs. But yes, we look at those trailing revenue benefits. And over time, and over time, you'll pick up some of the operating leverage for these new positions because the expense will stay flat and the revenue continues to grow. So all else held constant on those positions, yes, the revenue increases while the expenses stay flat. When you think about the 2020 guidance for next year, and what we did this year, we were up 10.6% in fee income this year. That was aided by our new hires. If you look at some of those businesses that we added resources this year, you'll see another 10% growth next year in those same businesses. We just have some anchors as it relates to fee income on a year-over-year basis. That's why you see a mid-single-digit number. For businesses like mortgage, where seasonally, it will be a little lower based on where we see interest rates, capital markets, where this year, we had a record year. So it's hard to continue to grow that at 10%. But those businesses that we've invested in will continue to grow at a double-digit pace, and over time, will become more efficient.
Ken Zerbe: Got it. Okay. That helps. And then, I guess, the other question, just in terms of provision expense. I completely understand that CECL's going to drive greater volatility in your provision expense, but you did mention it was going to be elevated. Is it right to think about if you're adding, say, 10 basis points or about 15% to your reserve ratio, your allowance, that your provision expense should also be, call it, roughly 15% higher, all things equal of course. So instead of the 24 you did this quarter, it will be something like 28? I mean is that the right logic to think about going forward?
Andrew Gregory: I think the right way to think about it going forward would be, just to put an expansion of the allowance for credit losses to the year ending loan balance and see what the provision build would be required to get there and the allowance build. Yes, it's a little bit different answer than what you're saying.
Ken Zerbe: It is. I guess I'll have to think about that a little bit more. But okay, I am good. Thank you very much.
Andrew Gregory: Thanks, Ken.
Operator: Thank you. And now on line, we have Brad Milsaps with Piper Sandler.
Brad Milsaps: Hey, good morning.
Kessel Stelling: Good morning, Brad.
Brad Milsaps: I just wanted to follow-up on Ken's CECL's question. If my math's right, looks like you might be targeting a reserve around 120 [ph] by the end of the year. If that's, in fact, correct, does that also account for any payoffs you get on the acquired book? Some of that discount accreting back through the provision, does that also take into account for that or is that pretty much where you think you'll end up no matter what?
Andrew Gregory: We still feel confident that day 1 impact of the 40% to 60%. And then we expect some slight expansion in the allowance over the course of the year. As you're well aware, the purchase accounting impact, it gets wrapped up into the - into CECL in 2020.
Brad Milsaps: Okay. And then secondly, just sticking with accretion income on the deposit side, I think you had the $11 million mark come through, again, this quarter. My understanding is, that, obviously, goes away this year. How quickly do you think you can sort of earn that back, so to speak, through reductions in funding costs, you had a nice reduction this quarter in interest-bearing deposit costs of around 15 basis points or so. Do you think it takes you a couple of quarters to sort of recapture that $11 million, so to speak? Or is it longer than that?
Andrew Gregory: Yes, Ken Brad you're right, the benefit of PAA on deposits goes away at year-end. And we expect some opportunity in deposit repricing in the first quarter. And so we expect to see some decline there. But the benefit of remixing is largely complete for us.
Brad Milsaps: Okay. Great. Thank you.
Operator: Thank you. And the next question comes from Steven Alexopoulos with JPMorgan.
Steven Alexopoulos: Hey. Good morning, everybody.
Kessel Stelling: Morning.
Steven Alexopoulos: I want to first go back to your response to Ebrahim's question. Do you plan to manage full year expenses to the revenue outcome and deliver positive operating leverage in 2020 on a full year basis?
Andrew Gregory: No. We have revenue - so revenue headwinds include the PAA impact that Kevin mentioned, $90 million. So we expect NII just to be marginally up on the year. We had a 0% to 3%, and then we have strong growth in fee revenue. And you see our guidance. And so that does not lead to positive operating leverage for the full year.
Steven Alexopoulos: Okay. That's clear. Thank you. And then on the loan growth, when I look at Florida community, they are routinely doing $400 million to $500 million per quarter of growth before the sale. And you said you did $350 million loan growth in total from them in 2019. Why did their loan growth fall by so much?
Kevin Blair: It's a great question, Steven. So it was less about production. When you go back and look at what they would have produced in 2018 and you compare it to their funded production in 2019, it was only off by a couple of hundred million dollars. So what we were pleased to see is that the level of production continued. What changed was the level of payoffs and paydowns. And it had very little to do with customer attrition, it had to do with the maturation of the portfolio and the fact that they actually are seeing the type of churn that you would see in a portfolio as it matures, as you recall, they were producing somewhere around $400 million to $500 million worth of funding growth every quarter. And they were growing $350 million to $400 million. So there wasn't a lot of payoffs and paydowns. As their - maturity of their book has continued to increase, they're starting to see some of that churn. So that's really the difference.
Steven Alexopoulos: So you're saying the originations have remained consistent.
Kevin Blair: Very consistent and very strong. And if you look at what they did in the fourth quarter, it was a very high watermark for them. And it was a very, very strong quarter for the legacy FCB team.
Steven Alexopoulos: Okay. Thanks for the color.
Kevin Blair: Yeah.
Operator: Thank you. And next is Jared Shaw with Wells Fargo Securities.
Jared Shaw: Just circling back on the provision. I guess, can you give a little color on what drove the -- I'm sorry, the allowance build this quarter, given the sort of backdrop of stable credit quality?
Andrew Gregory: Yes. We've spoken about this a little bit before, but it's really -- it has to do with 2 things. First is just loan growth in aggregate. And second is the high level of paydowns. Kevin mentioned the strong production in the fourth quarter, but we also still see elevated paydowns. And when we have paydowns in the book, in the FCB book, we don't get the benefit of a provisional release. And so even though we had loan growth of $800 million, if you were to say, what was the net loan growth of loans that we have provisioned against, it'd be much higher, we did not have provision against. And so that's what leads to that increase. So basically, we have normal loan growth. And then we have the growth or the payoffs of ones where we did not have a provision against them and then offsetting our renewed and new loans.
Jared Shaw: Okay. That's helpful. And then just looking at the NII, I heard - obviously, hear your comments on the margin. But when you look at NII and the strong momentum you set going into first quarter as well as the incremental benefit from that third-party servicing renegotiation, should we expect actually quarterly to see NII maybe stronger in first quarter and then trickling down? Or I guess, how should we be looking at NII through the year?
Andrew Gregory: Yes. Let me just speak to it in rate terms. We expect in the first quarter to see more of the impact of the negative -- more of the negative impact on loan yields. And so we'll see - we're expecting a decline in 2020 of somewhere between 10 and 15 basis points in loan yields on the year, but most of that'll happen in the first quarter or a decent percentage will happen in the first quarter. And again, it's that same impact that I talked about, about both the recent loan growth as well as the October rate move and the full quarter impact of that.
Jared Shaw: Okay. Thank you.
Operator: Thank you. And the next question comes from Chris Marinac with Janney Montgomery Scott.
Chris Marinac: Thanks. Just a quick one on the fee income guidance for the year. What does it take to get to the upper end of the range? And are there scenarios that, that could actually be greater?
Kevin Blair: So look, for us, some of it will do - have to do with the external market in terms of interest rates and what happens with the equity markets. Those are the variables that we look at. We've obviously added a lot of resources on the fiduciary and brokerage side. So as the market flows, we'll be able to ebb and flow within that range. Also with mortgage if you look at most of our businesses, as I mentioned, we expect to see strong growth in service charges year-over-year based on our investments in treasury. We expect to see double-digit growth in our fiduciary business again. The two businesses that represent a bit of a headwind for us, as I mentioned, were mortgage and capital markets for different reasons, mortgage because of interest rates and capital markets just because of the elevated levels that we had this year. So our success in moving to the high end of the range will have some of those external factors. But quite frankly, it will deal with our productivity internally and how we can continue to generate higher levels of production within those businesses.
Chris Marinac: Got it. Thanks very much Kevin and thanks for all the discussion on the expenses this morning, I appreciate it.
Kevin Blair: Thanks, Chris.
Kessel Stelling: Thanks, Chris.
Operator: Thank you. And next in line is Garrett Holland with Baird.
Garrett Holland: Thanks and good morning. Just had a quick follow-up for you. I heard you on the efficiency ratio targeting low 50s, but could you provide some more detail on the updated top-quartile profitability metrics you're targeting in this type of interest rate environment. And what's a realistic time frame for getting there?
Andrew Gregory: Yes. We look at ROA, ROATCE efficiency ratio as we think about how do we perform versus peers. And we believe in our strategies, we believe in the work we're doing this year on these transformation efforts to get to - to get back to the top quartile. And so we think that we have a lot of momentum and a lot of opportunity here to improve that performance. We're not ready to give guidance on really our forecast longer-term where we shake out on that, but we will have more on that in the future.
Kevin Blair: But Garrett, I'll just - in terms of time frame, we look at long-term targets as 2 to 3 years. I think you go out past that, it's harder to forecast. And to Jamie's point, the variable there that has made the industry change their expectations is just what interest rates are going to do, and it's hard to forecast that out 2 to 3 years. But our commitment is just to be in the high -- in the top quartile amongst our peer set.
Garrett Holland: That’s helpful. I appreciate the detail.
Operator: Thank you. And next, we have Steven Duong with RBC Capital.
Steven Duong: Hey. Good morning, guys. Just on - you mentioned the competition of the owner-occupied portfolio. Was that the same tail on the multifamily side? And what other segments are you seeing a high level of competition?
Kessel Stelling: Well, look, there's not a single asset class that we serve that doesn't have competition, Steven. So it's across the board. Now the owner-occupied, there are a lot of smaller banks doing rate promotions, where they're offering longer-tenure, lower fixed-rate loans. And again, within our business model, we're not going to chase business that doesn't make sense for us financially. So we're going to let some of that business leave us if it doesn't have the minimum profitability hurdle. So I think that's what you're seeing in some of the owner-occupied side. On the multifamily, I think that's much more just a stabilization of properties that are moving off balance sheet. There's a higher level of construction there. And so as those reach maturity and move to the permanent market, they're leaving our balance sheet. But we're still producing on multifamily. And like all the other asset classes, we're winning our fair share. It's just -- it's going to ebb and flow based on some of the maturations that are in our book.
Steven Duong: Got it. Appreciate it the color. And then just last one. Can you just remind us how much in your CD book you're expecting to have reprice for the quarter? And what's the rate on that?
Kessel Stelling: So right now, we would look at the maturities in the first quarter of the year, somewhere around $800 million in CDs. The current portfolio is a little over 2%. If you go back and look at this quarter, all of the maturities were at 2.06%, and we repriced at 1.98%. So I think based on a flat rate environment, you'd see a similar movement in the first quarter with the maturities being a little over 2%, and where we're renewing and where we're booking them in the high 1.90s.
Steven Duong: Got it. Appreciate it. Thank you.
Operator: Thank you. And that does conclude the question-and-answer session. So I would like to return the floor to Kessel Stelling for any closing remarks.
Kessel Stelling: All right. Well, thank you, operator. And first, thank you to all of you who participated on the call today. We appreciate your interest in our company. Certainly, some of the questions today might require follow-up, and as usual, our team is available throughout the day and certainly next week to give you any follow-up data points if we weren't clear today. For those of you who are shareholders on the call, thanks for your continued investment in our company. But I really want to conclude by thanking our Synovus team for the great year of 2019, for the way they really did finish the year, so strong. And for the energy, they're already pouring into 2020 to find ways to generate new revenue, additional efficiency and really deliver a differentiated customer experience, all with the eye on creating long-term shareholder value. So a big thank you to the team. The executive team looks forward to giving you more color and more updates on our transformation efforts, no later than the next earnings call. But if possible, towards the end of the quarter at the appropriate public forum, we would do that as well. So thank you so much for your attention today. I hope you all have a great weekend, and we look forward to talking with you soon.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.